Operator: Good morning. My name is Christy, and I will be your conference operator today. At this time, I would like to welcome everyone to The Madison Square Garden Company Fiscal 2018 Fourth Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session [Operator Instructions]. Thank you. I will now turn the call over to Ari Danes, Senior Vice President of Investor Relations for The Madison Square Garden Company. Please go ahead, sir.
Ari Danes: Thanks, Christy. Good morning. And welcome to The Madison Square Garden Company's fiscal 2018 fourth quarter and year-end earnings conference call. Our President, Andy Lustgarten will begin this morning's call with a discussion of the potential spin-off transaction and the Company's operations. This will be followed by a review of our financial results with Donna Coleman, our EVP and Chief Financial Officer. After our prepared remarks, we will open up the call for questions. If you do not have a copy of today's earnings release, it is available on the Investors section of our corporate Web site. Please take note of the following. Today's discussion may contain statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that any such forward-looking statements are not guarantees of future performance or results, and involve risks and uncertainties. And that actual results, developments and events may differ materially from those in the forward-looking statements as a result of various factors. These include financial community perceptions of the Company and its business, operations, financial condition and the industry in which it operates, as well as the factors described in the Company's filings with the Securities and Exchange Commission, including the sections entitled Risk Factors and Management's Discussion and Analysis of Financial Condition and Results of Operations contained therein. The Company disclaims any obligation to update any forward-looking statements that may be discussed during this call. Lastly, on Pages 4 and 5 of today's earnings release, we provide consolidated statements of operations and a reconciliation of operating income to adjusted operating income, a non-GAAP financial measure. And with that, I will now turn the call over to Andy.
Andy Lustgarten: Thank you, Ari, and good morning everyone. For the fiscal 2018, we again delivered strong revenue and adjusted operating income results. At the same time, we remained focused on ensuring that our Company is lower positioned to drive ongoing growth and value creation for our shareholders. With this objective in mind, in June, we announced that our Board of Directors approved the plans to explore potential spin-off that would separate our sports business from our entertainment business. The pure play sports company would reflect the strong and steady financial performance of our sports businesses, driven by the New York Knicks and Rangers franchises, while the live entertainment company would capitalize on opportunities for growth, most notably through venue expansion. We believe the potential transaction would provide both companies with enhanced strategic and financial flexibility to pursue their own distinct business plan and capital allocation policy. We also expect the spin-off would enhance shareholder value by enabling investors to more clearly evaluate each company's assets and future potential. Assuming we proceed with the transaction, we presently expected MSG shareholders receive a tax-free pro rata distribution equivalent in aggregate to approximately two thirds economic interest in the pure play sports company. The remaining common stock would be equal to approximately one third economic interest in the sports company. This would be retained by the entertainment company, which we would expect -- we would use the shares to raise capital to fund its growth initiatives and/or exchange for common stock. We’ve not set a timetable for completion of this potential transaction, which would be subject to various conditions. We look forward to updating you on progress in the months ahead. Turning to our operations. As I mentioned earlier, we delivered strong underlying financial results at both our entertainment and sports segments for fiscal 2018, driven by ongoing demand for our portfolio of live experiences along with our continued focus on maximizing the growth and profitability of our core businesses. Looking at our entertainment segment, excluding ` Group and Obscura for comparative purposes, we generated a low double-digit percentage increase in revenues and an even greater percentage increase in AOI this fiscal year. This was driven in part by our booking business, which delivered yet another year of increasing utilization with a record-setting number of events. In fact for fiscal 2018, we had double-digit percentage increases in both multimarket and multi-night engagements. Highlighted by our resiliency with Billy Joel, who last month celebrated its hundred sold-out show here that MSG. It is also worth noting that the growth in our booking business is broad-based, with six of or seven venues generating robust increases in both event-related revenues and contribution. Our expertise and booking will continue to play a key role in our success, especially as we grow our portfolio of venues. This year, we also unveiled the plan for MSGs Sphere, which mark the beginning of the new chapter for our entertainment business. Through cutting edge technologies, these venues will create entirely new platforms that will redefine the immersive experience, driving venue utilization in MSGs sphere and driving venue of choice for wide variety of content from standard bookings to new forms of attractions, concerts, products launches and special events. In addition to changing the way we think about the live entertainment experience, we believe MSG Sphere will attract companies which are now looking for innovative ways to showcase their brands. As you know, our plan is to build venues in Las Vegas and London. We continue to refine our design to ensure that we are delivering the most immersive experiences for our guests and maximize the efficiencies that come with constructing two venues that will have similar key features. Next month, we will begin site prep in Las Vegas. Our goal is to open Las Vegas venue as early as possible in fiscal 2021 and for London venue open the following year. We look forward to updating you on both projects and remain confident that MSG Sphere represents a meaningful growth opportunity for our Company. Turning to the TAO Group, it has been a year and half since we purchased the majority interest in the hospitality leader, which has expanded its footprint with five new venues in Los Angeles, several entertainment dining and nightlife experience in Moxy Times Square and LAVO Singapore located in Marina Bay Sands Hotel. TAO Group continues to build its portfolio and in June announced plans for an entertainment dining and nightlife venue as part of Moxy Chelsea in New York City you're sitting, as well as TAO Chicago restaurant and nightclub both expected to open this fall. This will be followed in 2019 by Marquee Singapore, TAO Group second venue in the Marina Bay Sands Hotel. We’re also pleased with the success we’ve had in bringing together the assets and brands of TAO Group and MSG to drive additional growth in areas such as sponsorships and hospitality. Continuing to explore these opportunities will remain a priority, particularly as we move forward with our venue expansion plans. This past Memorial Day weekend, Boston Calling Events held its annual namestake festival, which took place for the second year at the Harvard Athletic Complex. While this year's financial results do not meet our expectations, we believe we made important enhancements to the festival’s upgrade, the guest experience and are already working towards making next year's event both a critical and a financial success. Turning to productions. Fiscal 2018 marks another year of record revenue for the Christmas Spectacular Starring the Radio City Rockettes, which once again was seen by over 1 million people. For the production to 85th season, technology enhancements along with content by Obscura Digital, the creative studio we purchased earlier this year visually transform the show. This upcoming holiday season, we plan to deliver experience for our guests and look forward to sharing more soon. Turning to MSG Sports, our fully result at sports segment include another year broad-based growth across sponsorships, signage, local media rights, ticket -related revenue and suite license fees, a reflection of the ongoing strength and popularity of our professional sports brands. This includes the Knicks and Rangers, which recently welcome new head coaches David Fizdale and David Quinn. Both coaches are continuing to focus on developing young talent with the goal of building championship caliber franchises. Meanwhile, the New York Liberty are currently wrapping up their 22nd season at the Westchester County Center. We remain committed to finding the right owner to further advance the team. This fiscal year also marked our first foray into esports through a purchase of a controlling stake in Counter Logic Gaming, as well as our participation in the NBA 2K esports league. As we look ahead, we continue to see opportunities for growth in areas such as media rights and sponsorship where we bring significant expertise. In fact on a companywide basis, our marketing partnerships group had a strong fiscal 2018 with double digit sponsorship and signage growth. We successfully renewed agreements with three signature partners, Delta Air Lines, Charter Communications and Kia, while adding Squarespace as a new signature partner and the first ever Knicks Jersey sponsor. On the entertainment side, we also entered in the marketing partnership with Hulu, which including naming ranks to the theater at Madison Square Garden and recently added Montefiore Health System as the title partner of Madison Square Garden’s concert series. And just last month, we announced a multifaceted partnership with PepsiCo, making the beverage and food company one of our official signature partner staring September 1st. PepsiCo will become exclusive non-alcoholic beverage and salty snack partner across the various MSG properties, including our venues in New York, LA and Chicago, as well as select TAO Group entertainment, dining and nightlife venues. PepsiCo will also become an official partner of the Knicks, Rangers and Counter Logic Gaming, as well as the Christmas Spectacular Starring the Radio City Rockettes. We are pleased to welcome PepsiCo to the MSG family and look forward to creating a partnership that will drive both of our businesses In summary, fiscal 2018 represented a strong year with respect to our core operations, highlighted by our booking business, Christian Spectacular suites and marketing partnerships. This past year also represented the start of a new chapter for our Company as we unveiled our plans for MSG Sphere and announced our intent to explore potential separation of our sports and entertainment businesses. We look forward to building our many successes in the year ahead and remain well-positioned to continue creating value for our shareholders. With that, I will now turn the call over to Donna who will take you through our financial results.
Donna Coleman: Thank you, Andy. Good morning everyone. I'd like to start by touching on our full-year results. For fiscal 2018, we generated total revenues of $1.6 billion and adjusted operating income of $193.8 million, which represent increases of 18% and 19% respectively, both as compared with the prior year. Excluding the impact of acquisitions and non-recurring items, we grew underlying revenue by a mid-single-digit percentage, while increasing AOI by a strong double-digit percentage in fiscal 2018. Turning to our fourth quarter results. For the fiscal 2018 fourth quarter, our Company generated total revenues of $318 million, an increase of 4% year-over-year and an adjusted operating loss of $2.5 million, which represent an improvement of $41 million as compared to the prior year quarter. At MSG Entertainment, revenues of $185.6 million increased 47%. This was primarily due to a significant increase in event related revenues at the Company's venues and a full quarter of TAO Group results. As a reminder the prior year quarter included two months of TAO results due to the timing of the acquisition. The increase in event related revenues was primarily due to higher revenues at the Garden, Forum and Radio City Music Hall. The increases at all three venues reflect healthy growth in the number of concerts held as compared to the prior year quarter. Excluding the impact of $33.6 million non-cash write-off in the prior year fourth quarter, MSG Entertainment AOI of $7.7 million improved $13.3 million. This was primarily due to strong growth and event related contribution at our venues and the impact of a full quarter of TAO Group results, partially offset by a decrease in contribution from Boston Calling events. At MSG Sports, revenues decreased 26% to $132.5 million. This was primarily due to the absence of play-off related revenues and lower lead distributions, mainly the results of $15 million in non-recurring revenue in the prior year quarter. In addition, regular season ticket related revenue and food, beverage and merchandise sales decreased, all of which were impacted by a combined three fewer Knicks and Rangers home games versus the prior year quarter. The overall decrease in revenue was partially offset by higher sponsorships and signage revenue, local media rights fees from MSG Networks and suite rental fee revenue. MSG Sports AOI decreased 30% to $10.1 million. This is due to the decrease in revenues, offset by lower SG&A expense and direct operating expenses. The decrease in SG&A expense primarily reflects the absence of severance related costs associated with the team executive recorded in the prior quarter year. The decrease in direct operating expenses primarily reflects lower play-off related expenses and other net expense decreases. Lastly, corporate and other adjusted operating loss of $20.3 million increased by $1.4 million, which was primarily due to higher selling, general and administrative expenses. I would like to point out that beginning with our first quarter of fiscal 2019, we will be adopting the new revenue recognition accounting standard. While our analysis is ongoing, one expected change will be the timing of when we recognize revenue throughout the year for a number of our revenue streams, including local media rights, season ticket revenue and suite license fees. For example, the vast majority of the local media right fees from MSG Networks will now be recognized over the course of the regular season as opposed to be recognized straight line over the fiscal year. This will impact the quarterly year-over-year comparability of results, starting with the fiscal 2019 first quarter. We’ll have more to share on our next call. Turning tour balance sheet. As of June 30th, total unrestricted cash and cash equivalents was approximately $1.2 billion. In addition, there have been no borrowings made under either our $150 million New York Rangers’ revolving credit facility or our $215 million New York Knicks credit facilities. As a reminder, there also remains outstanding an approximately $109 million five year term loan at the TAO Group level. With that, I will now turn the call back over to Ari.
Ari Danes: Thank you, Donna. Christy, can we open up the call for questions.
Operator: [Operator Instructions] And your first question is from Brandon Ross of BTIG.
Brandon Ross: I have a couple on the spin. I know it's early. But how are you how are you guys thinking about how much of the retained interest in sports will be sold to raise capital for swap. If you could help us with what goes into that decision-making process. And then I have a follow-up.
Donna Coleman: You’re right, we’re still on the exploration stages of this transaction and our goal is to position the two companies for long-term success and value creation, and give ourselves financial flexibility. So as you know, we currently propose that the entertainment company will start with $1 billion of cash on hand and will retain a minority stake in the sports company. This will enhance our ability peruse our growth plans and also give us the ability to opportunistically exchange shares for our own stock. To your point where we ultimately end up in terms of raising capital versus exchanging shares really hasn’t been determined, and it will depend on a variety of factors that go into the decision process, including how the stock trades, the capital needs of the entertainment company and whether we decide to tap the debt market at some point. So there is still a lot to be determined in that regard.
Brandon Ross: And what's the potential for the tax leakage when you do sell those retained shares. How do you plan to shield those taxes?
Donna Coleman: Our cost basis is low, but we expect to be able to minimize that in a number of ways. For example, the recently enacted tax reform law allows us to accelerate depreciation on significant components of the MSG Sphere in Las Vegas, which will add to our NOL once we open the venue. We’re also exploring some other opportunities that are available to us. And of course to the extent we exchange some of the retained interest in the sports company for shares at the entertainment company that would be tax free.
Brandon Ross: So how do you think about the timing then of the retained interest? Do you want to wait a few years to minimize the tax leakage there by shielding the taxes with the greater NOL, or do you want to set a high watermark concurrent with the spend so that sports trades probably at a higher level?
Andy Lustgarten: I think it's a little early for us to comment specifically on timing. But I can't say we are always focused on maximizing shareholder value. So take those two messages together, but it’s very hard to say much more at this time.
Operator: Thank you. Your next question is from Bryan Goldberg of Bank of America Merrill Lynch.
Bryan Goldberg: So I was just wondering if you could share some perspective on how you’re thinking about the opportunity around legalized sports betting. How substantial it could be, what parts of your portfolio could benefit operationally? Would there be any meaningful complexities to navigate to go after the opportunities there? And then I've got a follow-up?
Andy Lustgarten: Happy to take the follow-up in a minute, so starting on sports gaming. Just take a step back and look at what's going on in Europe, and see the sponsorship and advertising dollars that go into the premier league and other European sports that excite us tremendously. That said sports, which I do feel bullish about, put that aside. We love and we're very excited about the impact of sports gaming on fan engagement and what the impact of that engagement does to in-venue, and also to both league and team media rights, which also will impact advertising as fans become even further engaged. So just the mix of both what we see on the ad market plus what we think it's going to do in fan engagement is very exciting to us. It’s still early, there is -- New Jersey, as you know, is legal. So which we're able to capture the benefit through our ad rep deals with the MSG Network and our carriage into the New Jersey market of our teams, and navigating through the legal environment in New York and the other market is complex. But we’re hopeful that New York will follow through with New Jersey, and we will be in a position to optimize and maximize our benefit from it.
Bryan Goldberg: And then on my follow-ups on the Sphere, I was wondering you said you’re refining your plans. Could you remind us what technological elements of the venues will be proprietary to MSG, and what your latest thoughts are in terms of owning or developing exclusive IP?
Andy Lustgarten: So let me start at the forefront, it’s hard for us to really give you all of our secret sauce of what we're doing here. Part of what we’re creating and has a lot of secret sauce and we’re focused on delivering something above and beyond. That said, what I can tell you is we’ve built a group called MSG ventures here internally who’s focused on identifying, developing technologies that affect live entertainment. Some of those we’ve showcased already at some of our events. In addition to that team, we’ve made a number of acquisitions, investments and partnerships. Obscura Digital was one for example. They’ve already played significant role in the Christmas Spectacular and their playing significant role in our creation of MSG Sphere. We’ve made investments in virtual-reality companies in new forms of acoustics. And last month we made a minority investment in digital technology company -- display company and that company will provide specific technologies for the Sphere. In addition to these investments, we're working with multiple experts in Audio/Video connectivity and other technologies. But one thing I can tell you is our strategy is in each of these investments and each of these partnerships is to either obtain expertise or attain strategic and/or ownership rights with related to the IT, or underlying technologies that we’re going to use them.
Bryan Goldberg: And one quick housekeeping item in the quarter, your equity income from the JVs swung meaningfully negative in the quarter year-on-year. I’m just wondering we don’t have a lot of visibility what’s going on there. Any notable ins and outs at Tribeca or the Azoff JV you could share with us?
Donna Coleman: There were a number of non-recurring items item that impacted the fourth quarter results this year. If I exclude those amounts, our share of earnings for the non-consolidated affiliates in the fourth quarter actually increased versus the prior year. And I’d also add on a full year basis if I exclude the non-recurring items in both years, we feel meaningful bottom line improvement relative to the prior year driven by progress in the Azoff MSG Entertainment joint venture.
Operator: Thank you. Your next question is from John Janedis with Jefferies.
John Janedis: Maybe one or so on the Sphere and then one separate one. On the Sphere, has the timing around n New Year’s opening changed. Can you provide any detail on the ground lease with the Sands, specifically as it relates to the payments of 25% at after-tax cash flow to the Sands of certain objectives are reached?
Andy Lustgarten: I’ll tell you, we are full speed ahead on Las Vegas on our plan for Las Vegas and for London. We've achieved a number of the achievements. Next month, we’ll be beginning site prep and we continue to refine on our design to make sure that we maximize the advantages from the two buildings that have very similar features. We have secured all the necessary entitlements in Las Vegas, a major milestone and are actively working on the construction permitting process. And our goal is to open as soon as we can and as early as possible, but we expect it to be in fiscal 2021. I think your other question was around hurdle rate and in the ground lease. So as you know we will obviously expect to start -- Sands has been a great partner. We are thrilled with them. They've facilitated all those permitting that we've already discussed. They were large part of how we were able to move so fast there. And we’re thrilled to be next door. The deal with Sands is a 50 year lease. We don’t pay any rent to Sands. And we -- at above certain objectives, they will receive 25% of access after-tax cash flow. We're not going to be disclosing exactly what those objectives are but I can tell you it's into the double-digit return area. In addition to the lease they’ve provided us with $75 million to help fund construction and to connect pedestrian bridge back to The Venetian and the other Sands properties, and we’re very excited.
John Janedis: And then maybe quickly, you spoke to the Pepsi agreement, not sure how much you can give. But how is this agreement incremental to the portfolio? And I guess more broadly can you give us any more update on the sponsorship renewal cycle?
Andy Lustgarten: So it’s probably better to start with the sponsors, just marketing partnership in general. We've had a great past two years. We've renewed partners Anheuser-Busch, Lexus, Delta Air Lines, Kia and Charter Communications. We've added Squarespace and as you mentioned, PepsiCo as a new partner. We never talk about specifics of any of our agreements. But I can tell you that our team has done a great job of renewing and expanding our partnerships. The Pepsi -- for example, the PepsiCo partnerships, not only includes the beverage brands but also includes snack brands and they’re going to be virtually -- they're going to be front and center across all of them MSG’s properties, so virtually all of MSG’s properties and that'll be starting in September 1st. Their deal is going to include naming rights for an eight-floor concourse and fan deck, which is new. And our success this year has led to double-digit increases in our sponsorship revenue. And we are confident that we're positioned well for the future.
Operator: The next question is from David Karnovsky of JPMorgan.
David Karnovsky: Just one on Boston calling, can you some additional detail there. I think you said it didn’t meet your expectation. I know this is mainly an attendance issue. And then how are you thinking about the festival for next year and potential expansion in the festival space in general? Thanks.
Andy Lustgarten: So we did see lower attendance this year. We believe that was partially related to the customer experience in 2017, our first year on site at the Harvard Athletic Complex, which we believe is an excellent site. But with any first-year festival, there are always hiccups. And in the past year, we really focused on correcting those hiccups and those hiccups were all around customer experience, ingress, egress, connectivity, food and beverage offering, we focused on that on tremendously this past year, and we believe in all the feedback we’ve received so far that it’s been corrected. And so we’re really bullish on the future. Boston calling is Boston and New England's premier music festival and we think it’s a great brand and we look forward to building on it.
Operator: The next question is from Amy Yong with Macquarie.
Amy Yong: I guess just following up on the written profile for Sphere. Andy, can you talk about what we should expect and should we expect the same return profile on London? And I guess how do they compare to MSG Garden? I think a lot of us saw through the transformation obviously that was very successful. And then secondly, I think you mentioned in your prepared remarks the sale process of New York Liberty. What are some of the factor that you’re weighing when you’re looking for a buyer and what’s been the appetite to taking that team? Thanks.
Andy Lustgarten: So how we think about returns, we’re with both the London Sphere and the Las Vegas Sphere, as you know, we’re building a state-of-the-art venue. The key to the state of the art venue is the immersive experiences and most importantly driving the venue utilization. This utilization will drive attendance, ticket sales and sponsorship opportunities. There will be a wide variety of events from standard bookings, to new forms of content, to new forms of attraction, to product launches and special events. We think these two cities are ideal for all forms of those types of content. And in addition we’re focusing very heavily on creating a set of tools that makes the content very easy to be created for both internally and as well for third parties, which will let us drive a library of content that we can use across both venues. As I mentioned, we think sponsorship will be a very significant component to these venues. And we think there's been a numerous number of companies that are going to look for innovative ways to showcase the products and we’ll be the place for it. And we don't look exactly -- we don’t disclose our exact IRR expectations, but I can say we’re very excited and look to create a lot -- long-term shareholder value. I think your other question was regarding Liberty, so we are still in the process of finding the right owner. We're very focused on finding somebody who wants to take the brand and the team into the future and are still actively pursuing those buyers. And I have nothing further to talk about at this time. But we are fully committed to our strategy on this.
Ari Danes: Thanks Amy. Christy, we have time for one last caller.
Operator: Sure. Your final question is from Ben Swinburne of Morgan Stanley.
Benjamin Swinburne: Andy, I think you mentioned in your prepared remarks low double-digit organic growth in the concert booking business or the entertainment business. How do you think about the sustainability of that type of growth? You mentioned utilization was up a lot. Is there room to take that higher, and do you have the concert supply and visibility into keeping these top line growth rates going? And then I have a follow up on TAO.
Andy Lustgarten: So we've spent the last few years very focused on multi-venue multi-night bookings, and we've seen a strategy pay-off. The lot business, not only with us but across the industry, has been very strong and there is lot of tailwinds here pushing the acts to want to be on the road given that's where the economics lie for the acts. And being in the premium markets that we are, we stand the benefit from those tailwinds. And given the markets we are in and our strategy to push multi-night and multi-venue, we also stand the benefit. So while there is any -- on a yearly basis, we feel very strong. There could be always be quarterly or monthly movements based on timing of when our events are in the building and when the sports teams are, when last year we had 13 nights of Phish in the summer. So it's hard to replicate that every single summer. But as you think across the year, we feel very strong about the future of our bookings business.
Benjamin Swinburne: And then just on TAO, now that you've got this -- basically the portfolio inside of MSG for a year and you look out. How has the business performed versus your expectations? What growth did you see organically in that portfolio? And along the same lines as the booking business, what's the outlook to keep that going from a growth rate perspective?
Andy Lustgarten: So we've been very happy with our TAO deal with our partnership. There has been a whole list of benefits we actually had and thought about when we did the transaction. They really pushed us on rethinking about experiences here in our venues. We’re thrilled with what they've done with 316. We expect to continue to grow that and replicate other types of ways to work together to push our base business. And also to push our business as grow in Vegas and in London. They are on their own, their growth profile -- the new venues they've been opening are we’re very pleased with. We think Singapore and other venues -- and Chicago and some of the other venues that are going to come will be successes. And so I think overall we’re pleased.
Operator: Thank you. And with that, I will turn the call back over to Ari Danes for any additional or closing remarks.
Ari Danes: Thank you all for joining us. We look forward to speaking with you on our next earnings call. Have a good day.
Operator: Thank you. This does conclude today's conference call. You may now disconnect.